Operator: Good afternoon, everyone, and thank you for standing by. Welcome to Evolus' Third Quarter Earnings Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded and webcast live. [Operator Instructions] I would now like to turn the conference over to Nareg Sagherian, Vice President and Head of Global Investor Relations and Corporate Communications. Please go ahead.
Nareg Sagherian: Thank you, operator, and welcome to everyone joining us on today's call to review Evolus' third quarter financial results. Our third quarter press release is now on our website at evolus.com. With me today are David Moatazedi, President and Chief Executive Officer; Tatjana Mitchell, Chief Financial Officer; and Rui Avelar, Chief Medical Officer and Head of R&D. Today's call will include forward-looking statements. Actual results may differ materially due to risks and uncertainties outlined in our earnings press release and SEC filings. These forward-looking statements are based on current assumptions, and we undertake no obligation to update them. Additionally, we will discuss certain non-GAAP financial measures. These measures should be considered in addition to and not as a substitute for our GAAP results. A reconciliation of GAAP to non-GAAP measures is included in today's earnings release. As a reminder, our earnings release and SEC filings are available on the SEC's website and on our Investor Relations website. Following the conclusion of today's call, a replay will be available on our website at investors.evolus.com. With that, I'll turn the call over to our CEO, David Moatazedi.
David Moatazedi: Thank you, Nareg, and good afternoon, everyone. Before we begin, I'd like to take a moment to welcome Tatjana Mitchell as our new Chief Financial Officer. Tatjana brings deep financial and operational expertise to Evolus, and she's made an immediate impact as we strengthen our focus on efficiency and long-term growth. The third quarter marks an important transition for Evolus. And before I discuss the results, I want to take a moment to recognize the outstanding efforts of our team. Over the past year, we successfully created or expanded a number of capabilities, solidifying the foundation for long-term growth. Most notably, our medical education platform has evolved into a comprehensive training ecosystem, working with world-renowned experts in the field of aesthetics to engage more than 17,000 injectors year-to-date through cadaver labs, in-office hands-on sessions, mobile training with our Evolus bots across 100 events and digital webcasts. Our Evolus consumer loyalty program has now grown to more than 1.3 million members, up 34% year-on-year, with nearly 70% returning customers, underscoring the strength of our consumer engagement. Our first-in-class Evolux co-branded media program has reached over 1,400 accounts year-to-date and generated over 300 million media impressions to digital, billboard and streaming campaigns, further amplifying awareness of the Evolus brand. Our Evolysse launch is off to an incredible start. To date, more than 4,000 customers have completed hands-on training and the majority have purchased Evolysse. One of the key insights we've learned is that first training builds familiarity and comfort with the product, while the second training is what drives meaningful adoption. In fact, 75% of Evolysse revenue comes from accounts that have participated in hands-on training, and we've seen a 100% increase in purchasing volume when an account is trained the second time. This clearly underscores the value of continued education in building product confidence and driving consistent use. Internationally, we entered 2 new markets this year, and our mature markets are continuing to grow at a very high rate. In the U.K., our most mature direct market, we estimate that our market share closely mirrors the share uptake we experienced in the U.S. following launch. Lastly, despite the headwinds in the U.S. aesthetic market Jeuveau continues to outperform the category with unit volume growing year-to-date and on track to continue that trajectory in a market that remains down single digits this year. Our above-market performance and disciplined expense management have positioned us to enter the next phase of our growth trajectory. Achieving profitability in the fourth quarter of 2025 and positioning us for sustainable annual profitability beginning in 2026. We've rebased our expenses with the benefits reflected in our third quarter results and remain well positioned to deliver sustainable profitability. While the aesthetic market continues to face near-term challenges related to consumer spending, we're encouraged by early signs of stabilization and expect demand for injectables to continue to improve sequentially. Against this backdrop, Evolus continues to deliver results that demonstrate the strength of our strategy and the resilience of our brand. In the third quarter, our revenue increased 13% due to strong global Jeuveau demand and meaningful early contribution from Evolysse in the U.S. Following a challenging second quarter, global Jeuveau performance in the third quarter reflected healthy demand as the business experienced sequential revenue growth in what is typically a seasonally lower quarter. Jeuveau sales benefited from positive unit growth, both in the U.S. and internationally, supported by record consumer demand through our Evolus Rewards program. As the market strengthens and the overall toxin category returns to growth, Jeuveau is poised to regain healthy momentum. We strengthened our 14% share of the U.S. market year-to-date, reinforcing the synergy within our portfolio and our differentiated positioning as a leader in performance beauty. With Evolysse, we continue to lay the foundation for adoption and scale, delivering $5.7 million revenue in the third quarter and $15.5 million since launch, marking the strongest HA filler debut in over a decade. Demand for Evolysse increased sequentially over the run rate of approximately $5 million after factoring for initial stocking by accounts in our launch quarter. We're particularly excited about the performance of Evolysse as feedback from customers has been exceptional, highlighting the product handling, results and seamless integration in their practice. This further validates our Beauty First strategy to build a full facial aesthetics portfolio under a single trusted brand. Through this launch, we targeted our highest volume Jeuveau accounts and gained valuable insights that will aid us as we now expand our focus to a broader customer base in the fourth quarter. Our launch-to-date strategy was focused on establishing Evolysse as a differentiated product independent from Jeuveau. And we intentionally avoided bundling during this initial phase. As we approach 6 months of experience with Evolysse on the market and as practices are now planning for the new year, the fourth quarter is the right time to bring the value of our 2 portfolio products together. This quarter, we have introduced our first Evolus portfolio bundle designed to reward practices that grow across both Jeuveau and Evolysse. This initiative enables us to compete more directly against competitive bundles and drive market share gains across the portfolio. In the third quarter, we expanded our customer base by adding nearly 500 new purchasing accounts, bringing our total to more than 17,000, 2,000 of which are now also purchasing Evolysse. Our Evolus Rewards consumer loyalty program remains a central growth driver, fueling both repeat use and brand engagement. Total redemptions grew 34% compared to the prior year quarter. New redemptions for the quarter were a record 244,000, of which approximately 68% came from existing consumers. Jeuveau and Evolysse are building lasting consumer loyalty, which fuels a sustainable growth and profitability of our portfolio. In parallel with our commercial execution, we achieved a key regulatory milestone with the submission of our PMA to the U.S. FDA for Evolysse Sculpt, our advanced injectable HA sculpt for mid-face volume restoration. We expect the FDA review to follow the standard PMA pathway with potential approval anticipated in the second half of 2026. We also remain on track for a broader launch of a steam in Europe in the first half of 2026. Before I close, I'd like to address the recent developments related to tariffs. We've taken proactive measures to mitigate potential tariff impact on pharmaceuticals, including Jeuveau. We will provide additional clarity once the trade agreement with South Korea and pharmaceutical tariffs are finalized. But the current time line gives us a valuable window to strategically plan and prepare for any changes. We remain confident in our ability to navigate these dynamics effectively without disruption to our customers or our financial performance. In summary, our third quarter results reflect above-market growth, financial discipline and the early benefits of our expanding portfolio. With Jeuveau performing steadily, Evolysse building scale, as team on track for launch in 2026 and the resetting of our expense base, Evolus remains well positioned to achieve sustainable profitability and long-term growth. With that, I'll turn it over to Rui for an update on Evolysse and our recent Sculpt submission.
Rui Avelar: Thank you, David. Since the launch of Form and Smooth here in the U.S., the feedback continues to be consistent. This line of gels are described as being efficient in that a given amount of product goes a long way. They have a low inflammatory profile and are very versatile. On the development side, Evolysse Sculpt is our HA injectable that targets the premium mid-face volume market and is currently making its way through the FDA process. In August, the first disclosure of the data was presented. The study compared Sculpt to Restylane Lyft in a prospective double-blind randomized trial and enrolled 304 patients in a 3:1 ratio. Using a validated 5-point scale, patients with moderate, severe or extreme mid-face volume deficit were eligible for treatment, then followed for 24 months. The primary endpoint was non-inferiority design measured at 6 months and looked at the difference in mean change in mid-face volume deficit scores after treatment. Patients were treated in the cheek area and the mean volume of HA product used was 1.8 mls per cheek or 3.7 mls per patient. The primary endpoint of non-inferiority was met with the difference in favor of Evolysse Sculpt. The confidence intervals demonstrated both non-inferiority and statistical superiority. The corresponding p-value also demonstrated statistical superiority at less than 0.001. The secondary endpoint looked at responder rates of each treated cheek, defined as at least a 1-point improvement on the scale. At 6 months, 83% of cheeks treated with Restylane Lyft were responders compared to 91% in the Evolysse Sculpt Group, with the p value that reached the level of statistical significance at 0.015. Following the patients over the course of 2 years, there was a pattern of increasing separation across the efficacy metrics over time between the 2 groups, favoring Evolysse Sculpt over the control. A 1 point change on the validated volume deficit scale represents a clinically meaningful improvement. Looking at patients with at least a 1-point change as assessed by the blinded evaluator at 24 months or the study's end, 8% of Lyft patients were responders compared to 29% of Sculpt patients over a threefold difference at the end of 2 years. The pattern was similar when looking at the global aesthetic improvement scale as assessed by the patients themselves. At 24 months, 13% of Lyft patients were responders compared to 29% of Sculpt patients. Treatment-related adverse events between the 2 groups were similar, 18.7% for Lyft and 19.7% for Sculpt, and there were no treatment-related serious adverse events in either of the groups during the trial. As mentioned, the PMA for Sculpt was submitted in the third quarter of this year, and we anticipate FDA approval in the second half of 2026. Lastly, the Lyft HA injectable trial is fully enrolled, ongoing, and we anticipate its approval and launch in 2027. With that, I'll turn it over to Tatjana to walk you through the financial details.
Tatjana Mitchell: Thank you, Rui, and thank you, David, for the warm welcome. Over the past 60 days, I have had the opportunity to get to know the Evolus team and spend time with some of our customers. It's been energizing to see firsthand what makes this company unique. And I wanted to share a few observations before we move into the results. First, Evolus has a highly differentiated business model. As a cash pay-focused company in a multibillion dollar aesthetics market, we have built meaningful relationships with both customers and consumers. Our ability to connect with both groups driving customer growth and retention while deepening consumer loyalty gives us a multitude of levers to drive performance. Based on my experience and scale consumer businesses, Evolus is still in the early stages of realizing our full potential. Second, the fundamentals of our business are strong. We have built productive long-term partnerships with Daewoong and Symatese, and our expense base has been successfully rebased following the second quarter, all while continuing to deliver on our revenue targets. This positions us well to drive operating leverage and profitability going forward. Third, we operate in a high-growth category with long-term secular tailwinds. Our strategy of building a facial aesthetics portfolio under one trusted brand provides a strong foundation for continued expansion and innovation. We are confident in delivering profitability with our current portfolio while actively pursuing strategic business development opportunities to expand our pipeline. And finally, I've been impressed by the strength of the Evolus culture. The grit and focus on impact that I've seen across the organization are what makes me confident in our ability to deliver on our long-term goals. I'm joining Evolus at a pivotal moment, one where the foundation is strong, the opportunity is clear and the team is focused on execution. I look forward to partnering with David and the leadership team to drive profitable growth and long-term value for our shareholders. With that, I'm pleased to share our third quarter financial results. Global net revenue for the third quarter was $69 million, a 13% increase over the third quarter of 2024. Sales growth in the third quarter was driven by a combination of the introduction of Evolysse and growth in global Jeuveau. And on a sequential basis, sales growth in the third quarter was driven by accelerating demand for Jeuveau, increasing underlying demand for Evolysse and continued strength in the international business. Net revenue for the third quarter of 2025 included $63.2 million of global Jeuveau revenue and $5.7 million of Evolysse revenue. Our reported gross margin for the third quarter was 66.5% and adjusted gross margin was 67.6%, which excludes the amortization of intangibles. Earlier, we touched on the topic of tariffs. There have been recent announcements related to potential tariffs on pharmaceutical products. At this time, the impact on Jeuveau is still being evaluated, pending additional guidance by the administration. Current inventory levels will sustain us through the first quarter of 2026, and therefore, Jeuveau will not be subject to any near-term tariff impact. Separately, under the recently announced trade agreement with the European Union, Evolysse is subject to a 15% tariff that began August 7. This star has been fully incorporated into our outlook and has a minimal impact on our financials. We continue to actively monitor global trade agreements and remain focused on mitigating any potential future exposure while ensuring stable supply for our customers. Moving now to operating expenses. GAAP operating expenses for the third quarter were $57.3 million, up from $55.5 million in the second quarter. As a note, on the sequential comparison, Q2 2025 GAAP operating expenses benefited from a $3.9 million reduction related to the revaluation of the contingent royalty obligation. Non-GAAP operating expenses for the third quarter were $49.7 million compared to $54 million in the second quarter. As a reminder, non-GAAP operating expenses exclude stock-based compensation, revaluation of the contingent royalty obligation and depreciation and amortization. This quarter, non-GAAP operating expenses also exclude $1.4 million in restructuring charges, primarily consisting of onetime severance benefits for inactive employees. These restructuring expenses are related to the strategic cost structure optimization announced in August. Within operating expenses, selling, general and administrative expenses for the third quarter were $52.8 million compared to $56.7 million in the second quarter. This included $5 million of noncash stock-based compensation compared to $4.3 million in the prior quarter. Non-GAAP operating loss in the third quarter was $3.1 million compared to non-GAAP operating loss of $6.7 million in Q3 of 2024. The better-than-expected third quarter results was due to operating expense reduction and in part to the timing of our largest customer event of the year, which moves from Q3 to Q4. As a result of this timing shift, the associated costs of the customer rent will be recognized in the fourth quarter rather than the third while the full year impact remains unchanged. Lowest non-GAAP operating expenses and non-GAAP operating income excludes stock-based compensation expense, revaluation of the contingent royalty obligation, depreciation and amortization and restructuring charges. Non-GAAP operating income also excludes amortization of intangible assets. Turning to the balance sheet. We ended the third quarter with $43.5 million in cash as compared with $61.7 million at the end of the second quarter. The decrease in cash during the quarter was primarily driven by our decision to pull forward inventory purchases ahead of potential tariffs on pharmaceuticals. Looking ahead, underpinned by our strong third quarter performance, our outlook for 2025 remains unchanged and includes the following. Reiterating total net revenue between $295 million and $305 million, representing 11% to 15% growth over 2024 results. We continue to expect Evolysse revenue contribution to be between 10% and 12% of total revenue for the full year 2025. Full year non-GAAP operating expenses to remain between $208 million and $213 million. Non-GAAP operating income between $5 million and $7 million in Q4 2025, which includes the timing of costs related to our customer events that shifted from the third quarter to the fourth quarter. In addition to our continued expectation to achieve profitability in the fourth quarter of 2025, we also remain on track to achieve sustainable annual profitability beginning in 2026. With that, I will now turn the call back to David for closing comments.
David Moatazedi: Thank you, Tatjana. Amid a challenging macro backdrop, our double-digit growth reflects the strength of our business fundamentals and the consistency of our execution. We're a company operating with focus and efficiency, maintaining financial discipline while advancing on one of the most differentiated injectable pipeline in aesthetics. As we move into the fourth quarter, we're deepening customer engagement with the introduction of our Evolysse portfolio bundle, which aligns incentives and drives growth across our injectable portfolio. With Jeuveau in the #3 share position and gaming on the market leader, Evolysse in the early stages of scaling and a theme set to launch in Europe in the first half of 2026, we are well positioned to deliver sustainable growth, profitability and long-term shareholder value. Operator, you may now begin the Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Annabel Samimy with Stifel.
Annabel Samimy: A great recovery on the quarter. I just wanted to ask you some questions about, I guess, the solar dynamic on Evolysse, how much of what you're seeing for Evolysse includes a headwind for stocking versus seasonality versus, say, market sentiment? I guess maybe some macro commentary could be useful here. Like, for example, has sentiment shifted? Is sentiment still poor for fillers? Or are you seeing meaningful headwind from free product for injectors to trial? And could you potentially quantify any of this? And I guess from here, can you sort of give us a better sense of what we can expect of the cadence? And then just -- that was a lot of questions, but one more on this. I guess you mentioned there were about 4,000 trained and 2,000 have adopted Evolysse. Do you have any metrics for the time that it takes to go from like, say, first training to second training into adoption? How should we think about the conversion of those patients -- those physicians who have initially trained?
David Moatazedi: Great. All really good questions, Annabel, around Evolysse. And I'll try to maybe dimensionalize for you for just a minute. If we take a couple of steps back, the one thing I'd say is when we launched, we focused initially on our core Evolus customers. And I'm really proud that in our first 6 months, when we look at our Jeuveau revenue, half of our revenue for Jeuveau has purchased Evolysse. So I think our focus on that, Evolysse customer set has been very productive for us. To your point, the recipe that we've uncovered, that has been effective, is to expose them to the product through our sales force, bring them in for training. One live hands-on training is very useful for them to have enough confidence to start trialing the product in their patients. But it really is consistently that second training that changes from trialing the product or dabbling with it to turning into an adopter. And that is really the key insight that we gained over the last couple of quarters with this product. We see a significant inflection point in those clinics when they get through that second training. As you can imagine, the first quarter that we launched, we had very few that actually had the opportunity to get trained 2 times. And so we started to see that more in the third quarter. And you could expect a number of those trainings. Second trainings are booked in the fourth quarter. That's a very significant part of the uptick within our core group. The second is in the fourth quarter, now that we've learned this product, and keep in mind, the U.S. is the first market that's launched Evolysse. So we're relying on our learnings here in the U.S. to continue to adapt our launch. We've now opened the door for Evolysse to go wider beyond our current Evolus customer base. And so you'll see the results from us being able to replicate what we've done over the first 6 months with our core customer group to a broader audience of customers. That's the second. And then lastly, as you pointed out, on the full year, the HA market, as we've read reports from our peers in the space, the market is down double digits. It continues to be relatively challenged, partly due to the macro environment. At the same time, Q3 is the seasonally low period for injectables as well. So you sort of have a compounding effect, if you will, and that's unique to the third quarter. Whereas in contrast, the fourth quarter, we expect will be the strongest quarter of the year, and will be now 3 quarters into our launch. So as we think about our guide for the full year, it reflects those market dynamics of those -- the fourth quarter being sort of the culmination now of 6 months of experience, our key learnings on the product and the benefit of the seasonality working favorably for us.
Operator: Our next question comes from the line of Marc Goodman with Leerink Partners.
Alyssa Larios: This is Alyssa Larios on for Marc Goodman. Just a few questions from us. Could you comment on the usage trends between Evolysse Smooth and Form and how those 2 different product lines are being used across the consumer base? And then can you give us an update on the advertising campaign and remind us exactly what channels you're using, whether it's DTC or going directly to the clinics themselves? And then finally, you mentioned that you intentionally avoided bundling the filler and toxin in the initial phase. Just curious what the rationale was for doing that. If you can walk us through your thought process? That's it.
David Moatazedi: Great. Why don't I start with bundling the advertising, and then I'll comment on the usage of Smooth and Form. I'd like to Rui to add his color. Both Rui and I spent a lot of time with customers, trying to understand how they do position it, and there are some interesting insights there. So just on the bundling piece, it became very clear to us as we're preparing for the launch of Evolysse that customers weren't looking for us to bring in new product to market and sort of force it on them because there are customers that use our primary product, Jeuveau. And instead, following a number of advisory board meetings and looking at prior product launches, we chose to take a different route, which has let the product stand on its own and allow these customers a period of multiple quarters to learn through the product before we start to think about bringing our portfolio together. So it was very deliberate in the first quarter that we launched. The product was entirely independent. In the second quarter, we introduced consumer loyalty. We didn't want to introduce that too early. We wanted accounts to get comfort with the usage of the product before we expose consumers to the loyalty benefit. And now in our third quarter following launch, it's not the right time where customers are asking us about what the future of our portfolio is. As you can imagine, they are currently partnered with the larger companies, and they commit to these larger portfolio of purchases as part of their ongoing commitment to gain better pricing. Today, by keeping them independent, there's no advantage to bringing the full portfolio under Evolus. And so we provided this growth portfolio bundle offering in the fourth quarter as our first test of how we'll bring the portfolios together. And this will carry through into next year. And so this is our first attempt of doing that. And I can tell you that we tested it in one of our larger customer meetings that Tatiana mentioned, that was a result of the phasing of spend in and it was very, very successful in terms of the reception we got to it. On the DTC side, look, our strategy is more focused around co-branded media. So all of the advertising we do is surrounding each clinic individually. And we've been able to build a model with Evolus where we do personalization at scale. And part of that personalization is around our co-branded media in the form of streaming TV spots, billboards within local markets. And the heaviest portion of it is digital media. That could be social, it could be search and it does vary by market. And as I said, there are over 1,400 accounts that have participated in our co-branded media benefits. So it's not an insignificant portion of our customer base, but they have to meet certain purchasing criteria to gain those benefits. And so -- and then lastly, on the usage of Smooth and Form, both products have the same indication, which is the nasolabial fold, but the properties of the gels are very different. And we're learning more and more about their personalities as injectors are generally purchasing both. We have very few that are entirely using one or the other, mainly because the property is a smoother, that's a softer gel, whereas the Form product provides more structure. And so our label may be limited nasolabial fold, but of course, the usage expands beyond that. And so what we're hearing consistently is whether looking for a product to fill in areas more -- to create more of a smoothing effect, that's where they're leaning towards smooth. And when they're looking for greater structure in a product, that's where they're reaching for the Form. But I'll ask to share his part, Rui?
Rui Avelar: Sure. I'm going to paraphrase a little bit. The indication is actually broader. The indication is medium to deep wrinkles and folds. And the nasolabial fold is one example of that. You can also go into the marionette lines. And if you look under that lower lip, sometimes there's a deep fold in there, it's called the submental fold. And there's a lot of versatility with these products. And when a clinician looks at a wrinkle or a fold, for example, nasolabial fold is one example, they can look at it strategically and think I'm taking all the attributes of this patient. Are they thin? Are they heavy? Skin quality, all these different things. And if their strategy is to try to use something more superficially, then they'll reach for Smooth. It's got a rheological profile that's very soft and you can bring it up very superficial. If the strategy is different and you want to create a little bit more lift and you need some more lifting power, your strategy is going to be deeper. So you go into Form. And sometimes you combine the 2, you layer them. You want something with more lift underneath and you want to smooth that out. So that's one group. And then in Europe, Smooth is actually approved for perioral fine lines and off-label here in the United States. But we're living in a global environment and people understand that, that product can be used so superficially that it will be used in parallel lines. And the other thing that's come in that's been very interesting is a recurrent comment that these gels are incredibly efficient. And what they typically say is I reach for a gel and I may go for something that needs more lift such as a Form. And I get done, and I still have product left over. And this product is so forgiving that I can continue through different parts of the area or even go superficial in the area that typically couldn't with the gel that has these properties. So that's been the feedback so far. For us, that was kind of reassuring because it was very consistent with the feedback we got before we brought the product on, and that's always nice to see that confirmation.
Operator: Our next question comes from the line of Navann Ty with BNP Paribas.
Navann Ty Dietschi: First, can you discuss in more detail the Q3 action underlying the sequential growth for Jeuveau despite the seasonality, including that Evolus Day event and practices support and potential promotional activities and whether you expect similar actions in Q4 such as the 11th day? And then second, we know that AbbVie commented on the Q3 call that their middle income customers for BOTOX are on the sidelines. So can you discuss the early signs of consumer stabilization that you are seeing?
David Moatazedi: Sure. Thanks for the question, Navann. I think what we saw in the second quarter, as we commented before, was a unique point at the end of the quarter where we saw a pullback in customer purchasing that was really unique to the second quarter that we hadn't observed before. We did not see that dynamic in the third. We maintained a consistent promotional effort and we always do, both on the consumer side, through our loyalty platform where we did engage consumers that we saw stretching their intervals between treatment with a way to bring them back into their normal routine. We also were able to do some things in the market around the clinics with partnerships. We did have a partnership with consumer magazine, Allure, where there was a gift with purchase that consumers were able to partner with us on that did drive a lot of interest in our product. And then, of course, now as we enter the fourth quarter, as you pointed out, this is our annual 11th day, which kicked off towards the end of October. And it's we're in the middle of it now, and it's a very important phase for us as our customers look at that annually.
Operator: Our next question comes from the line of Uy Ear with Mizuho Securities.
Uy Ear: Congrats on the positive quarter here. So maybe a question on, well, could you maybe just tell us the split between U.S. and ex U.S. sales for Jeuveau? And maybe you can also kind of help us understand, I think you indicated that you strengthened your 14% market share. Maybe just help us understand what you mean by that as well as what are you kind of seeing, I guess, in terms of your customer base who are -- who could be different from what AbbVie -- the customer base that AbbVie or Galderma have?
David Moatazedi: Yes. Let's start with what we're seeing in terms of just overall in the market. Obviously, the only 2 companies that report down the revenue and break out that level of detail is both us and AbbVie. So through that, what we see is a market that in the third quarter, likely decline by some small degree and we continue to outpace when you look at our year-to-date Jeuveau in the declining market, we've grown in terms of units. What's probably most promising is you see our consumer rewards data where the overall redemption, that's consumers going in, getting treated and earning their $40 off, it's up over 30% year-on-year. So we continue to see very healthy demand for the product in these clinics and we're continuing to, we believe, improve our presence there. Now that all at the same time, we're establishing Evolysse in these clinics. So overall, we feel very good about how Jeuveau has performed out of the third quarter. And we hope to see that momentum continue. The second part was, yes, that was the 14%. Yes. As far as the -- we don't do segment reporting on the toxin business, Uy. So unfortunately, we won't be able to give you that color. But we did in the script make the comment that both the U.S. and the international business are growing positive in terms of units year-to-date. So I think it gives you some color around there is growth happening on both sides on top of that, Uy.
Uy Ear: Okay. Can I sneak in another question. You're now going to bundle the product. Maybe just help us understand the potential synergies that you could get from this? Do you expect in some of the accounts, I think you're heavily penetrated. In terms of Jeuveau, do you expect greater -- significantly greater penetration there? Or do you think the synergies will work -- sort of will be greater synergies in terms of Evolysse? Just help us understand the dynamic and the potential and the magnitude.
David Moatazedi: Yes. I think my view is the portfolio bundle is a long play for us. This is a very early innings. We've been operating as a single product company and without a bundle for 7 years, and you've seen us establish. Jeuveau is the fastest-growing brand for the majority of those years since we entered the market. And we're the first company to break through the double-digit mark outside of the initial 2 players to enter the space. We do believe this is a meaningful opportunity for Jeuveau. There are countless conversations that we've had with clinics where their Jeuveau usage is limited by the downside risk they have by moving over more of their share to us on their total purchasing with some of the competitive products. The idea of a bundle unlocks and alleviate some of that pressure. And I think the reason I say it's a longer-term endeavor is because Sculpt further unlocks it because it further expands our portfolio within the HA space, which is an important part of continuing to move more of their business over. So I view the fourth quarter as the first of many quarters to come where we'll start talking a little bit more about the advantage of the portfolio.
Operator: Our next question comes from the line of Douglas Tsao with H.C. Wainwright.
Douglas Tsao: Congrats on the progress. David, I guess, I'm just curious, have you seen that effect yet in the marketplace, meaning sort of accounts that were perhaps not purchasing Jeuveau because they were very defensive around sort of the bundle with Allergan or AbbVie and now are beginning to be able to purchase Jeuveau as well as Evolysse? Or is that more of the sort of a conversation that you're starting to have?
David Moatazedi: Yes. We have had a combination of both inbound interest from accounts that weren't working with us on Jeuveau and they're interested in Evolysse and that opens the door for us to begin partnering with them. Now keep in mind, Evolysse is still early. So I think some of those could be dabblers that will continue to expand their presence. And as a result of that, they've started to dabble with Jeuveau. So that's one group of customers. Another group are customers that have been somewhat moderate users of Jeuveau. And now with Evolysse, they're looking at us differently. And consistently in the conversation is the idea of having a mid-face product, that bringing in a differentiated mid-face product, which is a big gap in a lot of portfolios in our industry is going to be a significant point in time to do that. So we've used this, if you will, in 3 stages, right? The first 6 months was establishing Evolysse. The next 6 months is starting to establish our portfolio value proposition and then opening the doors to follow as Sculpt gets to approval, and then we can really use that entire bundle to start to take advantage of it. So we've been deliberate about how we've tried to roll these out, especially to support our customers who've helped us get here.
Douglas Tsao: And as a follow-up, David, I'm just curious, on the co-branded marketing side, is Jeuveau remaining the focal point? Or have you had accounts inquire or begin to actually do co-branded marketing where Evolysse is the focus?
David Moatazedi: Yes. So the third quarter, we started to put out co-branded media on Evolysse. Some of those co-branded media ads had mentioned the weight loss. As you know, we're the only hyaluronic acid that has mention of weight loss in our label. There's a lot of interest. Some of those in our billboards now sitting around the U.S., some of them are digital media. And that was one that many [Technical Difficulty].
Douglas Tsao: Hello?
David Moatazedi: Yes. We're back, Doug.
Douglas Tsao: I think, David, we lost you midstream about the co-branded marketing.
David Moatazedi: Yes. My only comment there was, we are seeing co-branded marketing on Evolysse in the form of billboards as well as digital with a number of them having the mention of weight loss, which is unique to our product. And as we mentioned on the prior call, the more you purchase from Evolysse, the more co-branded media dollars you earn. And then our team works with those clinics to choose which products they want to highlight between the 2, Jeuveau and Evolysse. And we started to introduce it in the third quarter in the market, and it's going to continue to rise as we enter the fourth quarter.
Operator: Our next question comes from the line of Serge Belanger with Needham & Company.
Serge Belanger: David, first question is on ordering patterns. Like you mentioned earlier, volumes and size of orders kind of dropped off at the end of the second quarter. Just curious what impact that had on inventory levels and the overall ordering pattern throughout 3Q? And maybe what you've seen in the early part of 4Q right now? Secondly, I think Tatjana mentioned that the customer event was moved from 3Q to 4Q. I imagine that's the 11-day promotion. What impact did that have on OpEx? And could that be another tailwind for 4Q Jeuveau sales?
Operator: Apologies. The speakers are experiencing more technical difficulties.
Tatjana Mitchell: Serge, can you let me know where we cut off? Can you let me know where my response cut off?
Serge Belanger: I don't think we heard your response at all.
Tatjana Mitchell: Okay. Apologies. We are dealing with some technical difficulties, but we are back on. So the question was around the customer event that moved from Q3 to Q4. That was the summit that we have for our largest customers. It was not the 11th-day promotion. So the 11th-day promotion, as David said, kicked off at the end of October and is currently underway. And so there's no change in promotional cadence or any impact on revenue.
David Moatazedi: Okay. And to your -- second part of your question around purchasing pattern, Serge. A couple of things that we pointed out coming out of the Q2 earnings call. One is that accounts were drawing down their inventory. We expected that to continue through the third quarter. And so what we're seeing were accounts that are carrying less inventory and purchasing more on an on-demand basis versus placing sort of the larger volume orders that they had been placing before. But collectively, we saw them coming through strong just with over the course of more orders rather than the bigger volume ones. Now the fourth quarter is at the busiest season. So we do expect that the purchase volumes are generally higher. They will be higher than they have been over the past 2 quarters. But we do expect that inventory levels will continue to be managed carefully in the space as the overall volumes year-on-year. We expect the fourth quarter hopefully to be relatively flat coming off of a depressed base. So we expect it to be relatively stable.
Operator: Our next question comes from the line of Sam Eiber with BTIG.
Sam Eiber: Maybe I can move to the tariff mitigation strategies that you called out in the prepared remarks. So I'd love to hear any more details. I guess you could provide on potential offsets if we do get tariffs. I know it's a fluid situation, but would love your thoughts there. And maybe as a follow-up, if we do get potentially material rates, what's your ability to, I guess, build in the U.S., manufacture in the U.S.? How long something like that could take to build out? Any thoughts there would be great.
David Moatazedi: Yes, Sam, it's a great question on tariffs. Like you, we've also been watching this very closely. And I want to be careful not to get into too much detail here because it's harder to lay out plans when it's not entirely clear yet. The Korean trade agreement is nearing a close. So we're looking forward to seeing that agreement finalized, but the pharmaceutical tariffs and whether those continue to hold are still not yet clear. I can tell you that we have an incredible partnership with our partner, Daewoong in Korea. They're very well aware of the impact of tariffs, the conversations we've had with them. And they've also been very supportive. As you see, on one hand, there's been a higher impact on our cash burn as a result of pulling forward inventory into the U.S. That allows us and affords us the luxury of time to be able to get more clarity on some of these unknown items. But as you can imagine, we're working through it in scenario planning. So rather than going through each of those scenarios, I can tell you that we have a partner that's committed. We have the luxury of time to work through this. And it's still unclear within that range of options, I would just say that we are open to exploring...
Operator: Apologies. Looks like we lost him again. There are no further questions at this time. I'd like to pass the call back over to Nareg Sagherian for details on an upcoming IR event. Nareg?
Nareg Sagherian: We hope to see many of you there. Thank you for joining us today.
Operator: This concludes today's teleconference. You may now disconnect your lines.